Operator: Good day, ladies and gentlemen and welcome to the Gordmans Stores Incorporated Earnings Conference Call for the Fourth Quarter of Fiscal 2014. My name is Cassandra, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode, but we will be conducting a question-and-answer session at the end of the call. [Operator Instructions] I would now like to turn the call over to your host today, Mr. Brendon Frey.
Brendon Frey: Thank you and good afternoon. Before we begin, I would like to remind everyone that the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company’s filings with the SEC and our earnings release. I would now like to turn the call over to Andy Hall, Gordmans President and CEO.
Andy Hall: Thanks, Brendon. Good afternoon and thank you for joining us to discuss our operating results for the 2014 fourth quarter and full year. On the call with me today is Mike James, our Chief Financial Officer. I will provide an overview of our fourth quarter performance. Next, Mike will present our financial results for the fourth quarter and full year in more detail, as well as discuss our guidance for the 2015 first quarter. I will then speak to our 2014 accomplishments and our strategic initiatives for 2015. We will conclude by answering any questions you may have. Moving to the fourth quarter performance, our diluted earnings per share of $0.12 exceeded our guidance range of $0.05 to $0.08 due to sales near the high end of the guidance combined with favorable operating expense performance. We were encouraged by our sales performance for the fourth quarter. Net sales increased 1.9% and while comparable store sales declined 2.7%, this represents a significant improvement from our comparable store sales trend entering the fourth quarter. I am especially pleased with our sales performance in December, where comparable store sales were up slightly over last year without the benefit of an e-comm operation. The December improvement resulted from better merchandising and improved marketing strategy and generally favorable weather conditions versus last year. From a marketing perspective, we reduced deflationary couponing during a natural traffic period and took timely permanent markdowns to drive our after Christmas and New Year’s Day clearance events. Our sales performance was mixed across merchandise areas. Missy generated a double-digit comp increase with a strong career business and the launch of our contemporary classification. Shoes and maternity ran mid-single-digit positive comps. Our juniors, home essentials and men’s businesses were flat to low single-digit negative comps. Our other merchandise divisions performed worse than the company comp. At a more granular level, the following departments ran a fourth quarter positive comp and have momentum as we entered the first quarter of 2015: missy career, plus sizes, junior-related separates, men’s sportswear and activewear, young men’s pep and decor pillows and rugs. Our gross profit rate decreased 65 basis points primarily due to lower initial markup. As I mentioned earlier, we also accelerated permanent markdowns in December and January versus last year to clear current slower moving goods in season. Our selling, general and administrative expenses were 40 basis points lower primarily due to marketing efficiencies and lower store payroll expenses partially offset by labor and cost inefficiencies associated with the new distribution center and increased depreciation expense. Our inventory investment and content has significantly improved over the prior year as we move into fiscal 2015. The currency of our year end inventory has drastically improved with 60% of our goods less than 60 days old versus 46% last year. And overall, we decreased our inventory by 10% on a comparable store basis. Mike will now present more detail of our financial results for the fourth quarter and the fiscal year as well as our guidance for the first quarter of fiscal 2015. Mike?
Mike James: Thank you, Andy. With respect to fourth quarter performance, net sales for the fourth quarter of fiscal 2014 increased $3.9 million or 1.9% to $204 million as compared to $200 million in the same period last year. The increase in net sales was driven by sales from the 7 new stores opened in the last three quarters of fiscal 2013 and the 6 new stores opened in fiscal ‘14. Comparable store sales decreased 2.7% due to a decrease in comparable transactions. For the fiscal year, net sales increased $15.1 million or 2.4% to $635 million as compared to $620 million last year. The increase was due to the 10 new stores opened in 2013 and the 6 new stores opened in fiscal 2014. Comparable store sales for the fiscal year decreased 4.8% also due primarily to a decrease in comparable transactions. Gross profit increased 0.2% to $76.8 million. Gross profit margin was 37.7% for the fourth quarter compared to 38.3% last year, a 65 basis point decrease driven principally by a lower initial markup on merchandise. For the fiscal year, gross profit increased 0.9% to $264 million. Gross profit margin was 41.7% for the fiscal year compared to 42.3% last year. SG&A expenses for the fourth quarter were $72 million or 35.3% of net sales versus $71.3 million or 35.6% of net sales in the prior year, a 35 basis point decrease. Advertising expenses were 81 basis points lower than last year due to a reallocation of a portion of our advertising spend earlier quarters. Store level expenses decreased by 57 basis points, primarily due to lower store payroll expenses and lower utilities expenses. Distribution center expenses increased by 38 basis points primarily due to higher payroll expenses associated with both internal and external logistics inefficiencies especially in our new distribution center. In addition depreciation expense increased 63 basis points due to increased property, plant and equipment additions including the second distribution center and the new corporate headquarters. SG&A expenses for the fiscal year were $265.1 million or 41.8% of net sales versus $247.1 million or 39.9% of sales last year, a 191 basis point increase driven primarily by a lack of sales leverage, distribution center inefficiencies. Distribution expense increased primarily due to the second distribution center and new corporate office and non-recurring costs related to the retirement of our former CEO and CMO and hiring of their replacements. Interest expense for the fourth quarter was $1.1 million compared to $1.4 million for the same period last year, with the decrease a result of the pay down of $15 million on our senior term loan in early November 2014. Interest expense for the fiscal year was $5 million compared to $2.5 million for the same period last year. The increase in interest expense was primarily driven by interest on the senior term loan entered into in mid-2013. Our combined federal and state effective income tax rate for the fourth quarter was 39% this year compared to 32.1% last year. Last year’s effective tax rate was benefited by significant jobs tax credits. Our income tax rate was 41.4% for the fiscal year 2014 versus 34.9% last year. Net income for the 2014 fourth quarter was $2.3 million versus $2.7 million last year. Fourth quarter diluted earnings per share were $0.12 based on 19.4 million weighted average diluted shares outstanding. Diluted earnings per share were $0.14 in the fourth quarter of 2013 based on 19.4 million shares. The net loss for fiscal 2014 of $3.5 million compares to $8 million of net income last year. The diluted loss per share was $0.18 for fiscal year 2014 based on 19.4 million shares compared to earnings and $0.41 on 19.3 million shares last year. I would now like to turn to our balance sheet. Cash and cash equivalents at the end of the quarter increased by 33% to $7.6 million compared to $5.8 million a year ago. Inventory was $94.5 million at the end of the fiscal year, down 0.3% compared to $94.7 million at the end of last year, which represented a 10% decrease on a comparable store basis. Our working capital was $19.4 million, 56% lower at the end of the – at the end of last year and total debt outstanding of $41.3 million is $11 million less than 2013 year end. With respect to forward-looking guidance, we are projecting first quarter fiscal 2015 net sales to be between $144 million and $148 million, which reflect a flat to low single-digit comparable store sales decrease. We expect gross profit margin to be consistent with last year as we continue our strategy of accelerating permanent markdowns to clear slower moving seasonal merchandise versus last year’s cadence. Selling, general and administrative expenses are expected to leverage in the first quarter. As a result, we project a diluted loss per share for the first quarter in the range of $0.06 and $0.02 using a weighted average diluted share count of approximately 19.4 million. This compares to a loss of $0.04 per share in the first quarter of fiscal 2014. While we do not provide full year earnings guidance, the following estimates based on current conditions are provided to assist you with developing your full year 2015 financial models. Comparable store sales of flat to low single-digit increase, gross profit rate is expected to increase by 80 to 100 basis points. SG&A expenses will de-leverage due to the startup of our e-commerce operation. Depreciation and amortization will increase by 30 basis points. The diluted share count should continue at 19.4 million shares. And capital expenditures will be approximately $14 million to $15 million. I would now like to turn the call back to Andy.
Andy Hall: Thanks Mike. Before we open it up for questions, I wanted to touch on a few 2014 accomplishments and discuss our business initiatives for 2015. While 2014 was a challenging year, there were a number of accomplishments that have provided momentum as we enter 2015. In the second quarter, we right-sized our inventory investment by reducing receipts by 17%. This was an important first step to future improvements in our inventory turnover and gross profit rate. As mentioned earlier, our year end inventories are 10% lower than last year on a comparable store basis. We opened a second distribution center in third quarter. This opening was imperative to our ability to continue to grow our store count. Prior to its opening, our distribution capacity was limited to 100 stores. Our year end store count was 97 after opening 6 new 2014 stores. We experienced significant second half learning curve inefficiencies that resulted in increased freight processing costs and increased days in our merchandise supply chain related to opening the second distribution center. Optimizing our supply chain is a key initiative in 2015. In anticipation of a 2015 midyear e-commerce launch, we began building our e-commerce team, selected our e-commerce platform partners and selected our third-party logistics provider. We also started the process of identifying the merchandise assortment to be offered on our e-commerce site. Our guest loyalty program membership grew 1.5 million from 1.5 million to 3.7 million members during 2014. We continue to leverage our guest loyalty database through a robust marketing program. This program instills a sense of urgency and drives incremental traffic to our stores. Loyalty members comprised 65% of our sales in 2014. We significantly strengthened our senior management team with the addition of Amy Myers, our Senior Vice President of Marketing in early July and Lisa Evans, our Chief Merchandising Officer in early January 2015. They are already making their presence felt in our improving business. In December, we modified our approach to running our everyday value price department store model. This included reducing the number, frequency and duration of deflationary coupons eliminating our historical practice of promoting clearance prior to Christmas, adding clearance events with marketing support post-Christmas, and improving our timeliness of permanent markdowns on slower selling in-season merchandise. The December results at a small positive sales comp, a $2 million reduction in point-of-sale markdowns and a much improved inventory aging and marketing gives us confidence that we are on the right track with our philosophical change in running the business. Lastly, we significantly improved our free cash flow, liquidity, working capital and debt leverage. Free cash flow, defined as cash from operations minus capital expenditures improved $30 million. The year end working capital was 56% lower than 2013 and we reduced our outstanding debt by $11 million or 21%. I believe our improved management team, growth opportunities, strong loyalty programs, investment in e-commerce, refinements to our everyday value price business model and strength in balance sheet and liquidity provided strong foundations for improved performance in 2015. However, we still have significant improvement to make in – to return the company to meaningful positive comparable store sales growth and profitability. Our strategic business initiatives for fiscal 2015 build upon the 2014 foundation and include developing assortments tailored to our guest profile, continue to improve our good, better, best inventory mix and define the basic and fashion opportunities by merchandise division, establish Gordmans as the plus size and big and tall headquarters for missy, juniors, men’s, young men’s and intimate apparel. Commit floor space to over indexing businesses in men’s and accessories to recapture lost sales. Clearly define our purchasing and marketing strategy for doorbusters and special buys in order to consistent – in order to drive consistent guest traffic into the store. These are examples of the merchandising opportunities that Lisa is championing for 2015. Next launching our e-commerce platform in mid-2015, this will include a fully functional transactional website that represents the Gordmans brand and product assortment. This launch is the first step to creating an omni-channel approach that is key to our future success. Next, improve our entire supply chain from items setup and purchase order entry, pickup at the vendor, freight consolidation, timeliness from consolidator to our distribution center, distribution center processing productivity and lastly delivery to store. Our overall 2015 goal is to reduce the vendor to store timeline by 25%. Included in this timeline goal are distribution center productivity increases of 20% in fall and 12% for the full year. Next continued to evolve our marketing focus to reduce deflationary couponing, drive the loyalty guests to visit more frequently and increase their annual spend, market and promote around key shopping periods such as Valentine’s Day, Easter, Mother’s Day, back-to-school, holiday as examples. Between the key shopping periods, let the everyday value price format work as intended, which means you don’t have to wait for a sale to get a great value and also engage our new advertising agency to launch a new media and marketing campaign. Next, leverage the everyday value price model to increased turns and create a more consistent merchandise flow. We have started this with rightsizing the inventory investment, it continues with taking timely permanent markdowns to drive clearance sell-throughs in the season, timely clearance perms results is open to buy to flow pressure seats. The end result is higher sales, increased inventory turn, lower markdowns and a higher gross profit rate. Lastly from a new store expansion perspective, we remain confident in the scalability of our business model across new and existing under penetrated markets. We plan to open six new stores in fiscal 2015 including three stores in Ohio which is our 22nd state. One in Bismarck, North Dakota, one in East Lansing, Michigan and one in Edina, Minnesota. Two of the Ohio stores opened in the Cleveland market last week and are off to a good start. We also plan to close one store during the year, but are reviewing options for several other low performing stores. Our strategy is to open new stores and accurately cull underperforming stores. Finally, I speak for the entire Gordmans team in saying that we are excited about our business foundation, the momentum that has been created in the fourth quarter and our 2015 sales growth opportunities. And with that said, we would like to open it up for – open it up to the floor for questions. Operator?
Operator: Thank you. [Operator Instructions] And we will take our first question from Neely Tamminga of Piper Jaffray.
Neely Tamminga: Great. Good afternoon and congratulations on solid progress in execution here.
Andy Hall: Thanks Neely.
Neely Tamminga: Andy. Yes, you bet. So Andy you might – if you can get a little bit more insight maybe on guidance for Q1 that would be helpful. It seems like your inventory levels are very tight and lean and that’s really encouraging, but the guidance for gross margins are being flat. Could you just flush that out a little bit more as to why that is? And then on the comp, I am assuming that your trend line is probably better than the overall comp guidance at this point, because there is like a giveback with the Easter shift. Is that – could you just confirm that, that’s maybe the case or did you just guide to your current trend? Thanks.
Andy Hall: Well, let’s start with – we are going to start with your second question first if that’s alright. So, I would tell you that the weather man didn’t play very nice in the month of February. So, we were a little bit under our plan. We had a very nice month here in March. We will start building – we will start seeing Easter build next week for the last two months of March. And then April is with the shift of Easter into March, April is probably a little dicey out there. I would tell you that I think where we are trending right now is we have picked up everything that we lost to plan in February because of the weather we have picked up so far in March with businesses been here in March. So, I would tell you that we are kind of on track to hit our plan, which is near the high-end of the guidance range that we gave you. So, hopefully that gives you a little bit of color out there, but there is some risk out there in April with the shift of Easter into March that there is still some certainly about that. As it relates to margin, very good question, it’s one of the reasons why we have put the – we don’t typically give full year guidance. And one of the reasons why we wanted to – and we are not giving full year guidance, but we wanted to help you think about the full year as it relates to sales and margin in particular. We do think that the sales are going to build during the year. So, we are more bullish on the second half of the year than we are the first half of the year certainly the first quarter. From a margin standpoint, if you remember in the fourth quarter, our sales were exceeding our original guidance – the high-end of our original guidance that was out there. And we took advantage of that and decided to start getting a head start on accelerating permanent markdowns. I think in the past the company has been late in taking permanent markdowns and that’s resulted in a lot of clearance carryover at the end of the season whether it’s fall winter or spring summer that carries over. And we wanted to get a head start on that. So, we actually took $9 million more in permanent markdowns in the fourth quarter this year than we did last year, which put us a great position. Our inventory aging and our marketing position is fantastic. Just to throw a couple of statistics out there for you. At the end of the year or so – at the end of the fiscal year, our inventory age less than 60 days was 60%, last year it was 46%. So, that was a tremendous 14 point improvement, but our marketing improved as well. So, when you look at the inventory that was marked in the 60 to 120 age category, for example, we had twice as much inventory mark this year than we did last year. So, we made a good start at starting that process of taking our permanent markdowns timely, so that we can move through our clearance inventory in season, where it’s more efficient to do so. And I think what you are seeing in the first quarter is we are continuing to stay ahead of the marketing cadence that we have last year. So, when we get to the end of the first quarter, we are going to be – we are going to continue to be better marked than we were last year in the 60 to 120 and 120 to 180 and greater 180 categories. So, that principally is why you don’t see any margin improvements in the first quarter, but as we put in the full year help for you to build your model we do fully expect on a full year basis margin to expand by 80 to 100 basis points.
Neely Tamminga: That’s very helpful, Andy.
Andy Hall: Great.
Neely Tamminga: That’s very helpful. Thank you so much. And just one little point of clarification, your 97 stores at the fiscal year end, is that accurate?
Andy Hall: That is accurate.
Neely Tamminga: Okay.
Andy Hall: We opened two about 10 days ago, so we are at 99 as we said here.
Neely Tamminga: Okay, very cool, alright. Congratulations and good luck out there, okay.
Andy Hall: Thanks Neely.
Neely Tamminga: Thanks.
Operator: And we will go next to Richard Jaffe of Stifel.
Richard Jaffe: Thanks very much guys. And I guess a couple of follow-ons, e-commerce business launching in 2015 mid-year, will that be a full store assortment or do you see that edited either in terms of classifications or categories of merchandise, if you can also talk about your in-store and online pricing everyday low price, doorbusters or what combination of pricing you will be using both online and in-stores going forward?
Andy Hall: Sure. Thanks for the questions Richard. From an e-commerce assortments, when we launch in mid-year it won’t be to full assortments that are in the store as you might suspect. We are going to open with a less than full assortment as we grow into the e-comm business. But we will have an assortment that reflects the entire breadth of the store. So all of the merchandise divisions will be represented on e-commerce at launch, what we want the launch product to look like e-commerce products would look like – website to look like as representative of Gordmans and the brick-and-mortar Gordmans experience. So we will have merchandise from throughout the store on e-commerce. We will grow that assortment throughout the remainder of the year. So that’s why when we look at sales this year for e-commerce are not that much quite frankly, but we are really investing in building the e-commerce for success down the road. Our expectations are to be able to breakeven on the e-comm business by late 2017, early 2018. From a pricing standpoint between e-commerce and the brick-and-mortar stores, we will have consistent pricing between e-commerce and brick-and-mortar. We think that’s important though we are basically going to be running on everyday value price concept on our e-comm side as well.
Richard Jaffe: And some of the traffic drivers and special buys that you have in stores will you do the same sort of thing online to match some of them online…?
Andy Hall: At launch we may not have all of those traffic drivers, but we will have as we mature in e-commerce we may have web only specials to drive traffic to the web. We probably will not have – we don’t do an exercise of really kind of defining what doorbusters and special buys are going to be. Doorbusters will probably not be represented on the e-comm site, but our special buys may and special buys are going to be products that we either bring in special or we can pull it off before put it as a special pricing that we will market and promote, we have that product online. We will promote it at the same price, so we will have the same special buy price there. On doorbusters, those are products that we are going to bring, yes actually I said it’s just reverse, earlier what I just described is going to be a doorbuster. Special buys are going to be buys that we bring in at an exceptionally steep value, put them out on the floor and we will expect a pretty quick sell-through on those items and they will not be represented online. But the doorbusters if it’s in the online inventory content will be at that doorbuster price.
Richard Jaffe: Got it. And can you just comment generally about marketing, you used some TV in the past and a lot of inserts or newspaper circulars and wondering how it shapes up for 2015?
Andy Hall: Well, we are making some pretty significant changes to the way we market. We are running a much more effective and pervasive marketing program today from an e-mail standpoint and e-mail blast. We are taking advantage of 3.7 million loyalty guests that we have been communicating directly with them, be it e-mail. We support that with full sheet inserts in the newspaper. We probably won’t do as many as we did last year. And I think that we will be more targeted to specific natural shopping periods when we do that, whether it’s Mother’s Day, Father’s Day, back-to-school, Easter, things like that. We have hired a new outside advertising agency that we are – actually just kicked off yesterday with the agencies onsite doing some research and some interviews that we will expect to rollout a new TV campaign, but also that campaign will go TV, radio and it will be a print campaign as well. I think there would be daily paper. It could also be periodicals, magazines as well. So, that we probably won’t kickoff that new campaign probably until midyear, but I think that’s an exciting opportunity for us. So, it’s really going to be able to give us the opportunity to drive the value message, which I think is what we have kind of missed in the past. Our everyday value price, I mean, the cornerstone of our business model is value. And I think we got a little astray from that model in the past. And I think we will get back on board here this year.
Richard Jaffe: I look forward to it. Thank you.
Andy Hall: Great. Thanks, Richard.
Operator: [Operator Instructions] And we will take our next question from Mark Altschwager of Baird.
Mark Altschwager: Good afternoon and thanks for taking the question. Just wanted to follow-up quickly on the comp and gross margin commentary you provided. I mean, guidance does imply pretty significant inflection in both metrics as we get to the back half of the year? So, I guess what do you see is the key drivers there or maybe which initiative specifically we will be most bullish about that improvement in the back half? And then along with that, could you just reconcile that with the plan to pullback on the coupons in 2015 and what are their call to action methods will be used instead to drive that traffic to the store? Thank you.
Andy Hall: Sure. So, I think there is a couple of things that’s contributing to that, that margin improvement. In the second quarter, we anniversary last year’s significant markdowns that we took the cleanup excess inventory that had built up over frankly, probably the number of years, but it’s certainly over the past 12 to 18 months at the time last year. So, that’s part of it going up against that in the second quarter, but the back half again is our approach to taking our terms on a timely basis, where we can move out the clearance merchandise, we can clear it in-season as opposed to waiting to the end of the season taking our March at the end of the season, then trying to sell all winter products in the summer or selling spring summer products in the fall doesn’t work very well. So, we picked up the more efficient approach and we will certainly help with our margins. The other thing that we did last year that’s going to help margin is we right-sized our inventory investment. So, if you recall last year in the second quarter, we reduced our – we pulled down our second quarter receipts by 17% to get our inventories at a – what we felt was a more appropriate investment level. So, we ran down negative double-digit comps in the back half of 2014, which we think was appropriate. We ended the year at minus 10% comps. And then we will continue to run negative comps last year until we anniversary the rightsizing of the inventory investment last year. So, by not buying – overbuying like we have done in the past, which turned into a lot of clearance markdowns, that’s going to help the margin rate as well. And then all of the merchandising strategies that we are working on and at least is spearheading is going to be margin accretive as well. So we think that we got a lot of good things going on. And we think we feel very comfortable in putting out the 80 basis points to 100 basis points improvement out there for the margin rate. As it’s related to driving the traffic, the coupons that we are cutting out those are – we are cutting out deflationary coupons. Those are coupons that weren’t driving any traffic. They were just decrementing the sales as our guests came in, not on the specific shopping trip because of that coupon, but on for the normal trip into the store, she would reach into her handbag and be able to pull out multiple coupons because we were sending coupons out that had expiration dates that range from 24 days to 37 days. We had multiple coupons in circulation at the same time and they just became deflationary as opposed to drive new traffic. So everything that we are cutting out from a coupon standpoint is not hurting our – is not hurting our traffic flow, it’s just getting rid of the deflationary tactic that we were using. We are running so far this year, our POS markdown rate is running about 20% lower than it was last year. And so the traffic drivers are communicating and marketing and increasing our e-mailing to 4 times to 6 times to 7 times a week depending on the week and speaking to the merchandise speaking to new receipts that are at the store and speaking to the value that we have. And it’s really important for us to continue to bang the value drum, because that is the cornerstone of what we do. We are priced at the 60% off of the department store price or the MSRP price out there. And we just need to be stay in front of our guests and make sure that she understands that and she is shopping. So but it’s also important for us to market to new guests and get new customers in the stores, well that’s why we will continue to do full sheet inserts which is kind of target to a new guest. We are buying lists from folks that don’t shop us that are shopping some of our competitors and we will shop those and we will send a promotional mailer to those folks, e-mail to those folks to drive new guests in the stores and those have been successful. We started that in November. We ran – we bought this in November and December and had good responses to the list that we bought. So we will continue that in 2015 as well. So maybe hopefully that gives you some color.
Mark Altschwager: That’s was great. Thank you very much.
Operator: And we will take our final question from David Mann of Johnson Rice.
David Mann: Yes. Thank you for taking my question. Congratulations on some of the progress you made last year. I am curious on the expense side, can you give a sense how much the e-commerce ramp and expenses are going to hurt in 2015 and how should we think about perhaps just the core store base, what’s the SG&A leverage point?
Mike James: Well, this is Mike James. The e-commerce de-leverage is going to be probably in the neighborhood of 50 basis points next year from an expense load perspective. And I think for the full year we expect that SG&A is going to de-lever because of that by roughly 30 to 40.
David Mann: Very good. I am sorry.
Mike James: Certainly with comps and when you – we started to generate positive comps, improved gross margin rate the leverage picks up pretty quickly.
David Mann: Great. And then in terms of your initiative to increase penetration of off-price purchasing, can you just give us a sense on where you are in progress with that?
Andy Hall: Yes. So one of the things that we had to do with the off price purchases is come up with some goods strong definitions of what that is, because when we first started talking about it as an organization, really every purchase we make is an off-price purchase, because we are buying at approximately 30% off the line price. We are buying at the same time that traditional department stores is vendor showroom buying, but because we are buying at a discount off the line price and our everyday value price is lower – up to 60% lower on what a department store and MSRP price is. We don’t go back to the vendor at the end of the quarter at end of the season for marketing systems. So, the vendors like doing business with us, because we could focus on finding the right goods for our customer base and for our customer taste and then they don’t have to worry about the plan of the game that they do with the high-low retailers about. Here is the price that I am going to get from you today and it’s because I got to hold some back, because I know you are going to call me in 3 months and want assistance. So, we had to define what a doorbuster and what a special buy was separately from our everyday business model of purchasing off the line price. So, our goal is to drive up to 10% this year – up to 10% of our purchases be a special buy or a doorbuster. So, obviously if we are up to 60% off on an everyday pricing, you can imagine that our requirement and our definition is greater than 60% off of MSRP or a department store pricing for a special buy and also from a doorbuster. So, a doorbuster is going to be – could be something that we specifically buy in the market that we bring on to the floor and then we take it to a doorbuster price. So, we are still in a high low – a little bit of a high low price on a doorbuster. On a special buy, it’s an opportunity buy that we get, it may not even be an all door buy, we are going to bring it in. We will flow it out to the stores and we are going to educate our guests that if she doesn’t come in and shop us on a weekly basis, she is going to miss an opportunity to buy something at a tremendous value, because our expectation is that we will get – we will have a 2 to 3-week sell-through on the special buys that we rollout to the store. So, does that help you?
David Mann: Very good and very helpful. One last question, you mentioned you are closing one store, but that there might be additional locations under review, can you just give a sense how many stores might we be talking about and how much underperformance or money are they losing that might be a benefit if you are able to close them?
Andy Hall: Sure. So, I will start and then Mike can clean it up. So, the one store that we articulated in our store plans for this year is a store where the lease expires that we are not going to go forward in that location. But I think we have talked to the audience in the past that we are disappointed with our Chicago stores. We have three stores in Chicago. It’s a very high advertising rate market. It’s a market that’s hypercompetitive. And we just don’t have the scale of Chicago to be able to run an effective business model. So, we have been actively marketing those stores in Chicago. And we don’t – we have significant lease term left on those stores. We are running a negative 4-wall in those stores. I don’t know that we are in a position to quantify that publicly today, but we are actively trying to market those stores.
David Mann: Great, thank you. Have a great year.
Andy Hall: Great. Thanks, Dave.
Operator: And that concludes our question-and-answer session. At this time, I would like to turn the call back over to Andy Hall for any additional or closing remarks.
Andy Hall: Well, we appreciate everybody joining us. Thank you very much. On behalf of the entire management team and our 5,000 plus associates in our stores, distribution centers and corporate office, thanks for the continued interest and support of the company. We look forward to talking to you in for sure at the end of the first quarter, but in the interim if we get a chance, we get a chance. Thanks.
Operator: And this does conclude today’s conference. We thank you for your participation. You may now disconnect.